Operator: Good day, ladies and gentlemen, and welcome to ASUR’s Second Quarter 2011 Results Conference Call. I will be your operator for today. At this time, all participants are in listen-only mode. We will conduct a question-and-answer session towards the end of this conference. For opening remarks and introductions, I would like to turn the call over to Mr. Adolfo Castro, Chief Executive Officer. Please proceed, sir.
Adolfo Castro Rivas: Good morning, everybody. Thank you for joining us today for the conference call of our second quarter 2011 results. I wanted to remind you that certain statements made during the course of our discussion today may constitute forward-looking statements, which are based on management’s current expectations and beliefs, and are subject to a number of risks and uncertainties that could cause actual results to differ materially, including those that may be beyond our company’s control. For an explanation of these risks, please refer to ASUR’s filings with the Securities and Exchange Commission and the Mexican Stock Exchange. Today, I will provide an update on Tulúm Airport and corporate manners and afterwards I will discuss passenger traffic performance and the results of the quarter. With respect to Tulúm Airport, the public bidding process for the construction, operation and management for an international airport in the town of Tulúm was declared void in May because none of the technical bids presented by the participants complied with the requirements established in the bidding document. As a result the economic proposals were not opened and were returned to the bidding participants. In terms of corporate matters, on April 27 ASUR shareholders approved an ordinary cash dividend for mature related with (inaudible) of Ps.3 per share that was paid on May 17. Last May, I was named Chief Executive Officer by the Board of Directors, effective June 1, 2011. Mr. Fernando Chico Pardo remains Chairman of the company and President of the nominations and compensations and operations and acquisitions and contract committee. Our Board of Directors expect to name a new financial and strategic planning officer in (inaudible) and in the interim, I am overseeing the financial and strategic planning areas of the company. I feel really honored to have been chosen to become ASUR’s CEO. The opportunities for future growth and advancing our position in Mexican and Latin American export markets are very attractive. I look forward to continue to capitalize on our core strengths and as we move ahead on our strategy. Moving to the results, as expected during the quarter passenger traffic increased 2.9% year-over-year, principally driven by the stronger passenger traffic at Cancún particularly in terms of the domestic traffic. Traffic volume was up 4.9% in April, 3% in May, 0.6% in June. Remember that this year, Monday and Wednesday of holy week fell in April. For the last year, they fell in March. Traffic, however, continues to be negatively affected by the disruption of Mexicana operations in August of last year and the suspension of operations at Aviacsa in April last year. In summary, this is the lack of domestic airline seat capacity. This quarter, international passenger traffic declined share of total traffic down to 57.6% from 58.8% a year ago. Passenger traffic between Mexico, Canada and the United States represented 89.2% of the total traffic compared with the 89.7% posted in the same year – in the same year ago. Looking forward, even if Mexicana and Aviacsa reinitiate operations this year, we continue to see capacity constraints on domestic market and expect this situation to be normalized by the end of the year 2012. Of course, domestic traffic comparisons are going to be easier during the second half of this year. On international front, we see no growth from the U.S. market, some growth from Europe and a strong growth from Canada. Consolidated revenues increased 7.1% this quarter driven by the result – by the revenue increases across the board. Including construction revenues, total revenue would have increased 5.8%. Commercial revenues per passenger reached a record high this quarter, up 8.3% year-on-year to Ps.66.2 per passenger. Increase in commercial revenues per passenger also reflects the direct operation of 25 convenience stores this quarter compared with the 14 stores directly operated a year ago. During the quarter, we opened the last additional store of the 14th week to cover last year from the concessionaire that was in Chapter 11. Operating costs and expenses rose 3.9% year-on-year mainly as a result of increase in construction cost. Excluding construction cost services, total operating cost would have increased by only 2.3% reflecting higher depreciation and amortization resulting mainly from the investments made since the first quarter of 2010. And expenses related to the Mérida (ph). As a result of all these EBITDA rose % this quarter with EBITDA margin up to 56.8% from the 55.3% achieved in the first quarter of 2010. During the quarter, we made capital investments of Ps.109 million, as we continue with tender expansions in Vera Cruz, Villahermorsa, Mérida and Oaxaca airports return in the first quarter of 2010. Working passenger flow operations at Cancún Airport has been completed and now thus improving the quality of our service and operations for our domestic passengers. In terms of our balance sheet, cash and cash equivalents at the end of the quarter increased by 131% to 1.4 billion while bank debt was 834 million. Now, let me open the floor for questions.
Operator: (Operator Instructions) Your first question comes from the line of Vanessa Quiroga from Credit Suisse. Please proceed.
Vanessa Quiroga – Credit Suisse: Hi, Adolfo, good morning. My question is regarding the potential investments in Brazil, regarding the privatization of the airports over there. We have just heard from colleagues working closely with those kind of projects and we saw kind of very low potential returns coming from these investments in the range of 6% to 8% at best. And I was wondering if this is the range that you are also seeing and if that is still attractive for ASUR potentially given lower risk. I just wanted to hear what your thoughts are on that. And just on the Mayan Riviera as well, my second question would be on the Mayan Riviera. If you have to assign a probability of this project being re-launched, what would that be? Thanks.
Adolfo Castro Rivas: Hi, good morning Vanessa. In the case of Brazil, well, I have to say that we have been looking for investment opportunities over the last two years, maybe more, maybe three years in Latin America. We have been seeing one the projects that the Brazilian government launched recently. And you are right, the returns that we are seeing in that specific project are not attractive because of this, I think that we are not going to present an offer on that specific project. Of course, we would be looking some others and see if the conditions of this bidding process has changed. And then those can have attractive returns. For the moment, I have to say that you are absolutely right in the case of the one that is there. I don’t see a chance to be inside this specific project. In the case of Riviera Maya, it’s hard for me to place a number there. I really don’t know if the federal government wants to re-launch this process once one we have failed. Remember that one year ago when this project was launched, we had 23 participants in the process. And at the end, there were just three; you know one of them being ASUR and you know that Antitrust Commission decided not to accept ASUR’s proposal, so there were just two of the 23 participants. So what I think is if this process has to be re-launched, something has to change, otherwise, it will be the same thing. So that’s what I can say to you.
Vanessa Quiroga: That’s very clear. Thanks, Adolfo.
Adolfo Castro Rivas: You’re welcome.
Operator: Your next question comes from the line of Tomás Lajous from UBS. Please proceed.
Tomás Lajous – UBS: Good morning, Adolfo. Thank you for the call. I guess my first question was on the Maya Riviera, but that’s been covered. But the other one is in terms of your margins for the rest of the year, last year your costs were affected by the Mexicana provisioning. For the second half of this year should we expect margins similar to what we’ve seen in the first half or are your costs going to be a bit higher than in the first half? How should we be looking at it?
Adolfo Castro Rivas: Hi, good morning, Tomás. You know that we don’t like to talk about margins because margins are the result of revenues and costs. What we like to do is to talk about the cost side and in the cost side like I’ve said to you that each quarter we just had some, let’s say, one-time event like the Riviera Maya cost and fees from the bidding process down there in Brazil. It’s important to say also that during this quarter, the cost of services have been affected by the increase in the direct commercial operation. So the numbers that you are seeing – the good numbers that you are seeing there also have this impact of the increase in the direct sales. What I expect for the future, I don’t expect any major surprises where I’ve been trying to be very conservative or very cautious on the cost side. I was trying to maintain the cost at the minimum level as possible. For the moment, you can see that passenger traffic is not increasing in the way that it should be. We have to be aware that we are still below our historical peak, let’s say June 2008. So we have to be careful on the cost side and that’s what we are intending to do for the second half of the year.
Tomás Lajous – UBS: And I guess the other question is, your results have been – have continued to be pretty good, are you – are you thinking of changing your take on dividends or establishing a more sort of clear dividend outlook policy for the future?
Adolfo Castro Rivas: No, you know that we don’t have a dividend policy and I don’t think that we’re going to change that in the short term. What we do every year is to analyze what’s the result of the year, what do we have in front and then to make a proposal to our operations committee and then to Board of Directors and finally to the shareholders at the end. But it’s important to say that as of today we see these on a cumulative basis, we have paid basically almost everything that we have generated in terms of each and every (ph) earnings, with the exception of the effect that was generated last year as a result of the new accounting laws (ph). So for the moment that’s what I can say to you.
Tomás Lajous – UBS: Okay, thank you very much.
Adolfo Castro Rivas: You’re welcome.
Operator: Your next question comes from the line of Steve Trent from Citigroup. Please proceed.
Angela Lieh – Citigroup: Hi. Good morning. This is Angela Lieh calling. Really just wondering what the status of Mr. Chico Pardo’s stake in the company is and if he plans to sell. I have also a second question which is in, how do you see the situation with Mexicana and Aviacsa? Thank you.
Adolfo Castro Rivas: Hi. Good morning. In the case of the stake of Fernando Chico, I don’t have any information or any additional information that I can provide you. I have not seen any filing from him and I have not been informed by any change on his participation. In the case of Mexicana situation, it’s very difficult. I don’t believe that they’re going to solve this issue or this problem in the coming two weeks. There’s a clear date and the date is August 9th, where the period that they have to take to make or to have a solution of the problem is going to be over. What I believe is that this process cannot be extended again, so as a solution we’ll have to be set (ph) by August 9th. So it’s a very hard call. I don’t, personally I don’t expect that they will be solving this issue in that short-term period. In the case of Aviacsa, I really don’t know what is happening there, because they were ready to fly and all of a sudden somebody said that they had a debt towards the Mexico City Airport of Ps.22 million. What is not clear for me is that if they were ready to fly, a very small amount like the one that I’ve mentioned is not, in my opinion, enough to stop them flying again. For the moment, again, I don’t expect they will be flying or they will resume flying shortly. I have some hopes in the case of Aviacsa.
Angela Lieh – Citigroup: Okay. Okay, thank you. Just one more question, if I may. We were wondering if there is any update on hiring additional personnel and ASUR’s CFO treasury division that Mr. Castro, the host, has moved to the CEO position.
Adolfo Castro Rivas: I have to say that it’s not a policy, but normally what we do in the company is we try to see if we have someone inside the company to replace the position. That’s what we’re doing and I believe that we will find someone inside the company to fill that position.
Angela Lieh – Citigroup: Okay, thanks very much. That’s it from me.
Operator: Your next question comes from the line of Roberto Ramos (ph) from Credit Suisse. Please proceed.
Roberto Ramos – Credit Suisse: Thank you. Good morning and thank you for the call. I’m just wondering if you can provide a little more color as to what happened in your other airports line and the operating results for airport table. We saw EBITDA and operating profit drop sharply quarter-over-quarter and on a cumulative basis. I was wondering if you can give us some color on that.
Adolfo Castro Rivas: Well, basically, what I can say about the other airports, so you are saying basically with the exception of the Cancún. In case of the other airports we are facing some difficulties because of Mexicana situation. The Mexicana situation is affecting more and more in the smaller airports because if one airport has operations with Mexicana and not in Mexico and all of a sudden Mexicana disappears. And Mexico is not willing to place a new flight there to replace Mexicana fleet. Why because it would be flying with a very low load factor. So the smaller airports are the ones that are suffering more because of the situation. And unfortunately, I have to say that I don’t see that this situation will be resolved in the short term because in the case of the domestic offer, that will be I would say, replaced or fixed during next year. Some of the airlines that we have today have requested for new airplanes, but, those are going to be delivered out in the year 2012. So my expectation for the short-term in the case of the smaller airports is that they will be – they will continue to be affected by this lack of capacity.
Roberto Ramos – Credit Suisse: Okay. Thank you.
Adolfo Castro Rivas: You’re welcome.
Operator: Your next question comes from the line of Luis Wilit (ph) from GBM. Please proceed.
Luis Wilit – GBM: Good morning, Adolfo. And thank you for the call. Just one question, are you currently performing any special strategy or working together with airlines to improve capacity or frequencies in your destinations?
Adolfo Castro Rivas: Well, we normally do that and we have been doing that for the last 34 years. But the problem that we have today again is lack of equipment. Just imagine – just think about that if we say from June 2008 up to today, the system, the domestic system has 109 aircrafts left that in comparison of what we had in June 2008. 109, if we say 120 seats per plane times six or seven turns a day, let’s say at 70% load factor and again times 85 because of the maintenance you will find out that, that number is around 20 million passengers per year. Of course today, the system is not 20 million passengers left, why is this? Because the other airlines are using their aircraft in a higher manner, they are probably using their planes instead of nine probably 14 hours a day. Also I have to say that the load factor in the case of the Mexican airlines have increased significantly, you can see now because I made this point now, you can see that their load factor have increased in a very significant way from last year. So nevertheless, I have to say that even though, if we are working together and very closely with each one of the airlines, the problem that we have is a lack of capacity, and of course, this lack of capacity has always – it’s affecting the prices for the passengers. So, yes, we’re working, but, we will have to wait until next year to be in a normal situation again.
Luis Wilit – GBM: Okay. Thank you.
Adolfo Castro Rivas: You’re welcome.
Operator: Your next question comes from the line of Francisco Suarez from HSBC. Please proceed.
Francisco Suarez Savin – HSBC: Thank you. Thanks for the call, Adolfo. A question related with the quality of your passengers. It seems that we have seen a very nice trend in the average expenditures per passenger as for commercial revenues First of all, is that sustainable in your view, is that relates with the quality of the passenger or it has to do actually with what you’ve mentioned at the beginning of your call, of the opening of new commercial space?
Adolfo Castro Rivas: Well, first you know that one of the main objectives that we have in this company is to increase the commercial revenues per passenger and everyone in this company is working towards that direction, and that’s what we do. Of course, I have to say that an important increase in our commercial revenue for passenger during the quarter was when we sold off these stores that we’re operating directly today. But remember that these stores were operated by a concessionaire here. So, it’s true that those are new for us in terms of direct operations, but those were in the concession in last year. In terms of the nature of the passenger, as I have mentioned during the call, what we are seeing today is a strong increase in the case of the Canadians, a strong growth – a normal growth from the Europeans and a weaker situation with the U.S. traffic. Of course, Europeans are, they are passenger intent of the spending behavior. But the real thing is that we are – we are working very hard to bring this commercial revenue per passenger, we know that we are having more Europeans.
Francisco Suarez Savin – HSBC: Great. My second question relates with the overall trends in traffic. Yeah, it’s very clear that there are major capacity constraints as for domestic passenger, but, can you just share with us on international passenger trends? We have seen for some consecutive months or quarters sluggish growth in international passenger. What are your views on the potential additional growth going forward and what kind of share would you tell us about the trends going forward?
Adolfo Castro Rivas: What we are seeing is the weak traffic from the United States. I don’t want to say that this is because one or two things from the combination of many effects, but of course one could be the economic situation in the United States. I think that’s weak and it will be in the short-term. In the case of the rest of the international traffic which is Canadians, Europeans and some Latin Americans, I feel positive, I am positive in that front. So, what I feel for the rest of the year is whether each year comparisons in the case of domestic, a difficult situation in the case of the U.S. and an upgrade situation with the rest of the international.
Francisco Suarez Savin – HSBC: Very clear. And last, if I may. Can you share with us if you already have amended your master development plan as for the overall capital expenditures that should be disbursed in your airports?
Adolfo Castro Rivas: Well, that’s a good question. You know and we have been talking about this probably since third quarter last year. We presented our request to the Mexican authorities in relation to Veracruz and Villahermosa, basically amending the MDP in investment program due to the constraints in the year 2009, the results in the Mexican GDP during the year 2009. The Mexican authorities authorized the reduction of the amendment in the investment plan but we have not been able to share with you these numbers because they have not concluded there were in terms of what the new maximum rate will be for these two airports and we’re expecting the response. I hope that we will be able to share this with you in the next two to three months.
Francisco Suarez Savin – HSBC: All right. Thank you very much.
Adolfo Castro Rivas: You’re welcome.
Operator: (Operator Instructions) Your next question comes from the line of Augusto Ensiki from Morgan Stanley. Please proceed.
Augusto Ensiki – Morgan Stanley: Hi, Adolfo. Just one quick question following up on the capacity topic. So, I’m wondering if you had any estimate if – that you could share with us regarding the number of – regarding the capacity of your airports before Mexicana left and how much of that minus Mexicana today how much of that capacity has been retaken or if it’s still open.
Adolfo Castro Rivas: Well, when you are saying capacity, you are talking about the physical installations or you are talking about the routes that Mexicana were flying?
Augusto Ensiki – Morgan Stanley: I guess the routes that Mexican was flying.
Adolfo Castro Rivas: Okay. In the case of the international flight, if you remember, I believe that some installation from the third quarter, fourth quarter last year basically, seen that in the case of the international routes, we have some modern airlines covering those routes. I have to say that nevertheless, that there were some other airlines covering those routes. We have seen some kind of decrease in two specific destinations, one being Chicago and the other one is Los Angeles. And that’s probably – that some of the ethnic traffic does not like to fly in U.S. carriers. So, we’re working today as we speak with America to see if they can open new frequencies there to see if we can recover those passengers. So that’s the only effect that I’m seeing in this international traffic because of Mexicana’s situation. In the case of domestic, the situation is different. The small airports have been affected and Cancún is probably somehow affected. But I have to say that Cancún is the less affected. And that’s because these specific route is a very deep going in Mexico, that more of defect.
Augusto Ensiki – Morgan Stanley: I see. And I’m sorry, you said – in the internationally, you said Chicago and what was the second city?
Adolfo Castro Rivas: Los Angeles.
Augusto Ensiki – Morgan Stanley: Los Angeles. Great. Thank you very much.
Adolfo Castro Rivas: You’re welcome.
Operator: (Operator Instructions) And at this time, there are no questions on the line. Mr. Castro, I would hand the call over to you for closing remarks.
Adolfo Castro Rivas: Thanks for everybody for joining us today in our conference call. As always, do not hesitate to contact me if you have any further questions. So thank you for being here and have a good day and sorry for the technical problem. Thank you. Goodbye.
Operator: Ladies and gentlemen, that concludes today’s conference. Thank you for your participation. You may now disconnect. Have a great day.